Operator: Greetings, and welcome to the Allego First Half 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Manish Somaiya, Group Head of Investor Relations and Capital Markets for Allego. Thank you. You may begin.
Manish Somaiya: Good morning, good afternoon. I want to welcome everyone to Allego's first half 2022 earnings call. Mathieu Bonnet, Chief Executive Officer is joining me on the call today along with Ton Louwers, Chief Financial Officer. During today's call, we may make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and assumptions and as a result are subject to risks and uncertainties. Many factors could cause actual events to differ materially from the forward-looking statements made on this call. For more information about these risks and uncertainties please refer to the risk factors in today's press release and the company's filings with the Securities and Exchange Commission, including the Company's Annual Report on Form 20-F. Readers are cautioned not to put any undue reliance on forward-looking statements and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. During our call today, we'll also reference certain non-IFRS financial information. We use non-IFRS measures in some of our financial discussions as we believe they represent our operational performance and underlying results of our business. The Presentation of this non-IFRS financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with IFRS as issued by the IASB. And our non-IFRS measures may be different from non-IFRS measures used by other companies. Reconciliations of IFRS to non-IFRS measures, as well as the description limitations and rationale for using each measure can be found in our filings with the SEC. I'll now turn the call over to Mathieu Bonnet, CEO.
Mathieu Bonnet: Thank you, Manish. Good morning and afternoon to everyone on the line, and thank you for joining our first half 2022 earnings conference call. I will begin today with an overview of Allego for those new to the company and the market that underpins our business and growth expectations. I followed by a review of our first half 2022 results before closing with an update on our most recent achieved milestones. I will then turn the call over to Ton Louwers, our CFO for a closer look at the numbers. Using the presentation deck, let's begin with slide four. Allego is a well-established leader in driving and enabling the electric vehicle revolution. We are building the backbone of public EV charging infrastructure, throughout Europe, a leading EV market worldwide. We have an existing network of over 34,000 charging points at nearly 33,000 diverse mostly public and private locations across already 15 countries positioning us as a market leader in Europe. Our current owned network includes some 13 androids plus the new trespass charging points, our main focus in which we see tremendous growth to meet significant demand and help accelerate EV adoption. One part of the key differentiator for Allego is our business model. We own and operate our own public charging network. We undergo a rigorous site selection process to identify and develop sites that will be optimum enabling us to deliver high utilization rates for our charter and maximize returns on our investments. We also use these competencies to offer charging solutions as a service to B2B customers by designing, installing, operating and maintaining chargers owned by third-parties. So, we have a complementary two-pronged approach. We have two fundamental characteristics at Allego that drive this two-pronged approach. First, we are vehicle agnostic, meaning drivers can charge any car from any OEM, including dessert for instance. Second, we are also class agnostic, which means we can charge everything from light vehicles to vans to e-trucks allowing us to deliver charging solutions for the entire and fast-growing ecosystem of EVs. The second part of the key differentiator for Allego is its technology. We have developed a properitory suite of technology projects known as Allamo an EV Cloud platform to make our concentrated network of chargers work with a very high uptime. Allamo allows us to identify and develop select premium charging sites by analyzing traffic statistics and includes proprietary datasets and forecasting models based on the -- on growth factors. These factors are tremendously detailed and location specific including demand forecast using external traffic statistics. This offering provides a highly predictable cutting edge tool to optimize the best locations for the most attractive utilization rates and highest return on our capital investment. The Allego EV Cloud is a sofisticated tool that provides essential services to our own chargers and third-party customers, including authorization and billing, smart charging, and customer support. This service offering is integral to fleet operations and enables the company to provide close to 100% customer uptime that we improve continuously. And here, let me explain why it is important. When you arrive at the charging station, you want to be sure that you can charge. Too often on some other networks, drivers face difficulties that can be very inconvenient when already on your plate. So, operational excellence is critical and brings the highest relying [indiscernible] to our EV drivers' monitoring and forecasting issues become very important thing and the reason why the technology platform for our network is key to our success. On slide five on deck, I want to highlight as well as the link between energy and technology. Allego has its own proprietary energy platform that enables us to supply our chargers with green energy from multiple sources, which should stabilize our cost base in the future. Our business is then well-positioned to capture attractive margins by differentiating our charging solutions based on site location, technology, reliability, and convenience. Now on slide six, let's move to our first half 2022 results now. I'm happy with our significant progress and our team's execution, and we believe that the current demand trends support our growth. You can see that play out in the first half of 2022, were revenue increased by nearly 150% to more than EUR50 million, compared to the first half of 2021. Our charging revenue increased by nearly 120%, while our service revenue grew more than 180%. We saw growth across all key metrics, including charging stations, climbing nearly 75%, the utilization rate of 8.3%, compared to 4.3%, and total energy sold increasing by more than 105% to nearly 72 gigawatt hour, all compared to the first half of 2021. The first half of 2022 operational EBITDA was minus EUR1.5 million, compared to minius EUR3.8 million in the first half of 2021. These results show strong discipline in our operations despite the challenging environment, indeed the period has been highly impacted by the very sharp increase of energy prices with electricity prices that have allocated by four-fold on our main markets. Ton will provide later on more detail on this, but we are proactively implementing measures to attempt to mitigate the effects of higher energy prices. For example, we were able to increase our price in January this year and announced an additional 10% price increase on our charging station effective September 1st, 2022. Additionally, we are in the process of signing long-term power purchase agreements with different large-scale renewable sources tominimize the impact of rising energy prices in the long term. In other words, we are looking to lock in a significant portion of future energy demand to support our strong growth, we fixed lower prices. This will enable us to create a stable cost base leading to more consistent margins notwithstanding future volatility and commodity prices. From an operational standpoint, we executed during the period several initiatives, which include exercising the option of the project Mega-E, thereby adding more than 100 sites, and nearly 770 charging ports mainly fast and ultrafast, which aligns with our strategic focus as scheduled acquiring Moma an R&D technology platform to reinforce and control our technology news and competencies, expanding our strategic partnership with ATU to equip an additional 400 ATU branch locations with electric charging stations partnering with G&V Energy Group to install ultrafast charging stations at 100 G&V locations across Belgium. Our recent wins with marquee customers are further increase our secured backlog to around 1,100 sites more than double the year-ago level. Moving to slide seven, I want to spend a minute detailing the acquisition of Moma. Moma is an R&D technology platform that will further enable the company's proprietary EV Cloud platform. The addition gives Allego access to a team of more than 40 engineers, developers, and PhDs to further enhance the company's intellectual property and technological lead, while elevating the customer experience, technologies essential. And with Moma, we will bring new competencies to deliver fully integrated [indiscernible] technology for instance, and further develop energy management for our chargers as load 15 and balancing for the different grid operators. On slide eight, as I mentioned earlier in my remarks, we exercise the purchase option for the project Mega-E in July 2022. Mega-E at over 100 sites and nearly 800 charging ports mainly fast and ultrafast across 12 countries in the European Union. This acquisition isn't been consistent with our strategic focus of adding fast and ultrafast charging stations at Allego across Europe. On slide nine, underpinning our business model is a demanding environment that we believe supports our strategy. Most notably, on June 29th of this year, the European Union voted on a ban on the sale of internal combustion engines by 2035. Once implemented this legislation, we drive significant investment across Europe to create an infrastructure to support a robust network of electric vehicle charging stations. Of course, Allego with an already broadened [Technical Difficulty] is very well-positioned to capitalize on this. Looking a little closer at the numbers, the European EV market, there is on year-to-date June 2022 sales is more than twice the size of the United States EV market. BNEF projects that the number of EVs in Europe is expected to grow to approximately EUR24 million by 2025, compared to about EUR6 million to-date. This growth rate will support Allego’s already were the secured backlog of premium sites and its strong pipeline. On slide 10, let's move to our recent commercial agreements. During the second quarter of 2022, we announced several new strategic partnerships, pushing our backlog growth by 120%, since June 2021. Our size and scale create additional momentum with a pipeline of 1,000 sites, businesses are attracted to our ability to offer the one-stop-shop capability with the core technological competency that is the unique value proposition in the market. With all that, I will turn it over to Ton for an overview of our financials. Ton?
Ton Louwers: Thanks, Mathieu, and welcome everyone. I'm Ton Louwers, the Chief Financial Officer of Allego and I'm very excited to share Allego's financial results in our inaugural earnings call. I will start by summarizing our financial results for the first half of 2022, before reviewing our balance sheet and cash flow metrics. I'll then spend a minute discussing the impact of inflation and energy cost on our business, and provide an overview of our capital structure and guidance for full-year 2022, before closing with an operational update for July. We are starting with our financial results for the first half of 2022 on slide 12. Total energy sold in the first half of the year increased 106% to 71.8 gigawatt hours from the comparable year-ago period. The increase was attributable to high utilization rates, increased station size, and the further growth of our network, including the consolidation of Mega-E starting as of March 17, this year. This all is a function of two things. First of all, an increased EV penetration with larger battery cars coming to the market, and secondly, the quality of our site, of course, related to the Allamo tool. Our utilization rate for our ultrafast charging poles increased to 8.3% from 4.3% during the same period in 2021 equating to 4.5 sessions per charger per day. Moving to Slide 13, our growing scale across our 15 markets is driving the momentum, and adding Moma and Mega-E to our business will extend this growth. The total number of charging sessions rose 74% to EUR4.4 million owing to the more significant number of EV cars in Europe. Our recurring customer rate of 80% continues to remain steady. The development of energy management also provide opportunities for ancillary services. Next, I will discuss the impact of inflation on our business and our efforts to mitigate it. There are two components to keep in mind when it comes to inflation. First, is the impact of supply chain disruptions and hardware inflation, which we believe is manageable because of the long-term framework of our agreements with hardware manufacturers and vendors across Western Europe. In addition, the fact that we are large buyers and buying bulk enable us to negotiate and minimize the impact of supply chain disruptions, and inflation on the hardware side of our business. The second component is the impact of increases in electricity prices. Our variable cost for charging revenue includes electricity prices, which has an effect on our results. As you can see on slide 13, natural gas spot prices, a big driver of electricity price in Europe have increased 135% since late February to EUR196 per megawatt hour, but are expected to normalize over time based on the energy of future curves. Nonetheless, in our main markets electricity prices have increased four-fold, compared with the same period last year. The impact on our margins and the result of these higher energy prices depends on two factors. First, the ability to pass-through the price increases to customers, and second, the capability to manage the cost of electricity by a long-term power purchase agreements to minimize the impact of rising energy prices. Given that demand is higher due to the increased penetration of Evs, we can still pass-through a meaningful portion of the rise from electricity prices to our customers. We increased our prices by 17% on average in January this year and maintained approximately 80% recurring uses after the price increase. Our utilization was in fact higher even after the price increase and that's been increasing further ever since. We currently plan to implement further price increases to invoice potential energy cost increases. We have therefore announced a 10% price increase effective September 1, 2022, and are actively monitoring market conditions. Regarding energy management, we expect to sign our first long-term power purchase agreements with different large-scale renewable sources. In other words, we're aiming to lock a significant portion of our future energy demand with fixed prices to support strong growth. This will enable us to create a stable cost base leading to more consistent margins notwithstanding future volatility in commodity prices. Meanwhile, income from the sale of certificates or carbon credits generated from the sale of green energy provides a robust natural hedge against rising energy prices as the value of these certificates also climb as energy prices rise. As mentioned earlier, the income generated from the sale of the certificates was EUR4.9 million during the first half of 2022, compared with about EUR2.9 million in the first half of 2021. While our long-term energy management process is still a work in progress, we expect to hedge a significant portion of our variable energy cost in the future. Because of our efforts and focus on the hardware and energy price components, we believe we are well-positioned to minimize the impact of inflationary pressure over the long-term, which is a key value for the future of our company. The first half of 2022 revenue increased by 148.5% to EUR50.7 million from EUR20.4 million in the prior year same period. The improvement was partly driven by charging revenues, which rose 118% year-over-year to EUR24 million due to progress across all key measures. Total energy sold increased 105.2% to 71.8 gigawatt hour, the total number of charging sessions climbs 74.2%, and the average utilization rate nearly doubled to 8.3%, compared to the first half of 2021. In addition, services revenue was up 183.7% to EUR26.7 million in the first half of 2022, compared to EUR9.4 million in the first half of 2021. The growth in services revenue was mainly due to a ramp-up of the Carrefour project, where Allego is installing more than 2,000 fast annual to fast-charging points across 200 charging locations in France, with an operations and maintenance contract spanning over 12 years. As a reminder, we entered into this project in November 2021. Gross profit for the first half of 2022 was EUR9.9 million, 47.7% higher than EUR6.7 million in the same year-ago period. Gross margin, however, was as already said adversely impacted by around EUR7 million higher energy cost. This negative impact was partially offset by higher income generated from the sale of certificates, or carbon credits of EUR4.9 million, compared to about EUR2.9 million in the same 2021 period. General and administrative expenses were EUR277.8 million in the first half of 2022, compared to EUR144 million in the same period last year, with the increase attributable to non-cash share-based cost of EUR240.6 million. Our finance cost for the first half of 2022 was EUR15.2 million, compared to a minus EUR7.3 million during the same period in 2021. This difference compared to the prior year is due to fair value gains on the warrants and derivatives of EUR29.9 million and an exchange rate difference of minus EUR7.9 million. Interest paid stayed roughly the same where the interest on senior debt increased and onshore -- shareholder loans decreased due to the conversion of this loan at the closing of the business combination. Net loss for the first half of 2022 was EUR245.9 million versus EUR143.8 million in the same prior year period, mainly because of the item I mentioned before. Adjusting for one-offs, including the non-cash share-based payment expense and non-recurring items, our operational EBITDA ended up at a small loss of EUR1.5 million, compared to a loss of EUR3.8 million for the same period in 2021. This includes a negative impact of the increase in cost of electricity, we talked about before. Moving to our balance sheet metrics, our cash and cash equivalents as of June 30, 2022 was around EUR30 million. PP&E increased due to the further investments in our network and the first time consolidation of Mega-E assets of around EUR88 million. Intangible assets and other financial assets increased due to the first-time consolidation of Moma, our non-current borrowings decreased completely due to the conversion of the shareholder loan at closing of the business combination. Our working capital decreased with EUR84.8 million as a result of the future payment obligations on Moma and Mega-E for a total of EUR63 million, the release of prepayments received on the Carrefour project for EUR13.1 million, and an increase of inventory of EUR7.3 million, mainly for the Carrefour project that is currently ramping up. As of June 30, 2022, Allego had a secured backlog of about 1,100 sites representing an increase of 120% from a year ago. These sites are signed up for lease terms of an average of 15-years and include approximately 6,700 fast and ultrafast charging ports. Allego has access to the green infrastructure financing markets since we are EU Green Taxonomy Eligible Asset Generator. This means Allego can access financing by Green loans at a relatively attractive cost of capital and other terms. An example of this type of financing was the special purpose project finance vehicle between Allego and Meridiam for EV charging infrastructure in partnership with Carrefour, which closed in November 2021. The cost of capital was at EURIBOR plus 3.5% and financing terms are attractive, non-recourse, and first-of-its-kind for European charging point operators. Finally, I'm pleased to report that our solid operational momentum has continued into July. Total energy sold in July was 12.3 gigawatt hour, an increase of 80% year-over-year, and utilization increased 540 basis points to 11.5%. The regular customer rate was steady at approximately 80%, while higher electricity cost continue to pose a challenge as I mentioned earlier, we're working on long-term fixed price supply agreements and announced an average price increase of 10% effective September 1st, 2022. We're also actively monitoring the market for further actions. Moving to the capital structure and guidance. At the end of July, we increased our senior bank facility by EUR50 million to EUR170 million through an accordion feature thereby expanding our access to growth capital. The senior debt facility matures in May 2026. We've also made significant progress and are on track to refinance and upsize, our credit facility in early fall to support our considerable backlog. We are working with Societe Generale, whom we have mandated as the advisor and structuring bank on this facility. For guidance, we expect to generate revenue between EUR135 million and EUR155 million and a positive operational EBITDA for full-year 2022. Total energy sold is anticipated to be between 150 gigawatt hours and 160 gigawatt hours for the full-year and our guidance considers that energy prices are expected to remain high for the foreseeable future. To summarize, Allego had a tremendous first half of 2022, notwithstanding the impact of higher energy cost. Given the measures we are implementing, we expect it would be well-positioned to mitigate the effects of supply chain disruptions, higher energy prices, and other inflationary pressures over long-term. We also believe that we have robust access to third-party capital through multiple financing options to support and fund our secured backlog, expand our network, and de-risk our business plan. With that, I'd like to hand it back to Mathieu.
Mathieu Bonnet: Thank you very much, Ton. Overall I am happy with our results in the first half of 2022, given again the present situation in the energy markets. We continue to execute well across our business lines, while actively managing the factors we can control. We have numerous supportive trend that we have drive our business forward, including a robust backlog of fast and ultrafast charges that provides revenue derivatives from 2023; a deep technological moat; a broad network, and leading reliability that provide our customers with a frictionless experience; a favorable environment highly supported to the customers we serve as electric vehicle penetration rates increase throughout Europe. Before we open the line for questions, I would like to thank all our people at Allego for their dedication and hard work throughout the first half of 2022 that be traced our progress. With that operator, we are ready for questions.
Operator: Thank you. At this time we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Matt Summerville with D.A. Davidson. Please proceed with your question.
Matt Summerville: Thanks, good morning. So, I wanted to first ask about Carrefour, maybe an update on the deployment progress versus expectations and timing of how revenue associated with that? What cadence in '22 versus '23? How we should be thinking about all that? And then I have a follow-up.
Ton Louwers: Sure. Thanks, Matt. Good morning. The Carrefour project is ramping up actually according to expectation. The revenue might be a little less than we expected about a year ago, but it's -- we don't talk about material numbers here. So, we expect a further ramp-up in the second half of the year, and let's say to finalize it next year, that was always the idea. There is a bit of lack on permitting and grid connections, but it's again not materially affecting our projections at this moment.
Matt Summerville: Got it. And then with respect to the power purchase agreements, can you talk a little bit more about the structure there? Is there going to be any variability on inbound pricing to you? Will it be 100% fixed? And then maybe how many providers you are looking at? How much of your electricity costs? Your electricity needs I guess would be covered by the PPAs? Maybe just a little more detail there, I would appreciate it. Thank you.
Mathieu Bonnet: Yes. Sure, Matt. Good morning. Regarding the PPA structure, we have long-term, I’d say, long-term power agreement and with the long-term we usually say 10-years, that's what we are looking for, and with fixed price. And with that, we can have, of course, visibility on our production and [Technical Difficulty] cost of our [Technical Difficulty]. We use renewable work, we use different processors so that [Technical Difficulty] with one and the goal is to be meaningfully hedged at the end of 2023. And for 2023, we expect to be obviously on the yearly base at 50% at least covered and then after the intention and the growth to be and we are working on that to be 100% covered. But is very important, again is to say that these price will be fixed. So, that we want to get rid of any volatility on the commodity prices that drive the electricity prices on the European markets.
Matt Summerville: And then just as a brief follow-up to that, and then I'll get back in queue. With respect to this 10% price increase on top of the 17 that you implemented earlier in the year, will you be in parity essentially with inbound price versus cost?
Mathieu Bonnet: No it would be higher, because we want to add larger margin. So, the goal here is to keep our margin.
Matt Summerville: Got it. Thank you, guys.
Mathieu Bonnet: And that's the reason why just -- on this -- that's the reason why as Ton said, we are going to the market to see what's going on, because if needed, we need to rise the price again depending of the cost of electricity for the ones we have not hedged yet.
Matt Summerville: Understood. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Gabe Daoud with Cowen and Company. Please proceed with your question.
Gabe Daoud: Thanks, good morning, good afternoon, everyone. I was just curious maybe on that last point on the price increase and obviously working on PPAs to lock in costs. So, how should we think about long-term margin on your throughput or your gigawatt hour sales? Like how does that materially change or does that look different over the next couple of years deciding -- trying to triangulate that versus some of the initial targets you put out last year.
Ton Louwers: Good morning. It's Ton here. I think your question -- and a fair question. On the longer term and the mid-term actually, but certainly, for the longer term, the PPAs will bring us back to let's say margins we projected originally, right? So, it's obvious [Technical Difficulty] something going on in the market right now. And like I said before, we are responding to that we have a plan, we're executing on that plan and we'll probably see a year or so impact of that, not necessarily being the impact we saw in the first six months of this year within [Technical Difficulty] mortgages that we project [Technical Difficulty]
Gabe Daoud: Okay. Thanks, Ton. That's helpful. And then maybe a follow-up. Maybe a little bit more near-term question, but just can you talk about what gives you the confidence in the ramp that's implied in the second half of the year to hit the full-year gigawatt hour figures and also revenue figures?
Ton Louwers: Yes. So, the confidence we take out of that is, first of all, we have our operational plan on the expansion of our network, which we track on almost on a weekly or biweekly basis. So, that's one. And we're on track there. Otherwise, of course, we wouldn't have given you the numbers that we're looking at and that's basically what's behind this, if you look at the first six months, our revenue is actually in line with what we expected. Certainly, on the charging side, we have now Mega-E sites kicking in. So, that will obviously accelerate our revenues, compared to the period before that, and it's actually a matter of math. We don't expect the -- I mean our utilization rate in July was 11 and a bit that's very high and it's also seasonality in a way. So, it's not really, let's say representative for the, let's say, for the remainder of the year going forward or as a trend, but we definitely see it going up every single month, EV penetration is still high yesterday or this morning actually I read in the Netherlands, 20% of our car sales is electric, 30% is including hybrid. So, it's never been that high. So, it's continuing despite what's going on in the market and in the world.
Gabe Daoud: Thanks, Ton. And then just so on that note, power rationing at all across the EU like impacting the demand side. I guess which I guess would be visible via your utilization numbers. And I'm just curious of what's going on in Germany and maybe even so certainly in France is impacting what you're seeing on the network? Thanks, guys.
Mathieu Bonnet: So far we don't see any consequences regarding this effect. And to be frank, we don't expect to see any rationing, but more price increase would be driven by -- price increase actually and so supply and demand, and that's what we are working on. That's what we talked about just before where the question of the price of electricity. But so far, and again, I would like to say it the fact that the fuel price, as well as very, very high in Europe. I mean, that even though the price of electricity has increased. The pricing stations are quite interesting, compared with shutting your tank with nice cars. So, that's the reason why we still see very strong demand for EVs, and that’s the reason why we have despite the price increase still a higher utilization rate than before. And we expect this trend to go on given the situation and very, very hard push, very strong push for EVs and the energy transition in Europe.
Gabe Daoud: Understood. Thanks, everyone.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I will turn the floor back to Mr. Bonnet for any final comments.
Mathieu Bonnet: Thank you. Well, I would like to highlight the following: that the trend is very, very strong, again, as said by Ton that the first time we've reached 11.5% in our utilization rate in July, we don't see any reason why it should decrease in the months to come, even though the global situation stands with the energy market. But what's going on in Europe is irreversible, the comprehensive ban of internal combustion engine sales in 2035 that was voted by the EU Parliament. It's going to be in place and that's very important, because it means there is no way back. So that at end of the day, where all the cars will be EVs and they would need our infrastructure. So, that's the reason why we just need to develop our effort I think to serve our customers and new customers that's will come. Thank you very much for your questions.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.